Operator: [Foreign Language] Good morning, ladies and gentlemen. Welcome to the Transat conference call. Please note that this call is being recorded. I would now like to turn the meeting over to Andrean Gagne, Senior Director, Communications, Public Affairs and Corporate Responsibility. Please go ahead, Ms. Gagne.
Andrean Gagne: [Foreign Language] Hello, everyone, and thank you for joining us for our fourth quarter earnings call ended October 31, 2025. Annick Guerard, President and CEO; and Jean-Francois Pruneau, our Chief Financial Officer; will provide an overview of the quarter and comment on the current operational situation and commercial plans. Jean-Francois will also discuss our financial results in detail. We will then take questions from financial analysts. Questions from journalists will be taken offline after the call. The conference call will be conducted in English, but questions may be asked in French or English. As usual, our supplementary disclosure has been updated and is available on our website in the Investors section. Jean-Francois may refer to it when he presents the results. Our comments and discussions today may include forward-looking information regarding Transat's outlook, objectives and strategies that are based on assumptions and subject to risks and uncertainties. Forward-looking statements represent Transat's expectations as of December 18, 2025, and are therefore subject to change after that date. Our actual results may differ materially from any stated expectations. Please refer to our forward-looking statement in Transat's fourth quarter news release available on transat.com and on SEDAR+. With that, I would like to turn the call over to Annick for opening remarks.
Annick Guérard: Good morning. Thank you for joining our fourth quarter conference call for fiscal 2025. Transat significantly improved its operating and financial results during the past year, while strengthening the foundation of its long-term profitable growth strategy. Revenues rose 3.5% to $3.4 billion, reflecting a disciplined approach to capacity management in a volatile economic environment. Adjusted EBITDA supported by efficient cost management and initial benefits from our elevation optimization program improved 33% year-over-year to an all-time record of $271 million. Beyond this solid performance, we established in 2025 key building blocks to generate growth momentum through the deployment of new high potential routes, the rigorous execution of elevation and the refinancing of our government debt that was significantly reduced. In short, we fully achieve our 2025 objectives, and we are on track to continue performing according to plan in 2026. As you know, we reached a tentative agreement with our pilot union last week. This agreement marks an important step in the negotiation process lifting the risk of a strike and allowing our customers to travel with peace of mind during the holiday season. It will be submitted to the pilots for ratification, and we are optimistic about a positive outcome. Now turning to our fourth quarter results. Passenger revenues rose 1.5%, driven by a higher yield. However, as expected, total revenues declined 2.2% year-over-year to $772 million due to timing of Pratt & Whitney compensation. Last year, a significant amount of compensation was received at year-end, whereas this year payments were distributed throughout the year. Given lower engine compensation in the quarter and certain provisions that Jean-Francois will discuss later, adjusted EBITDA amounted to $71 million compared to $128 million in the fourth quarter of 2024. Taking a closer look at our operating metrics, capacity expressed as available seat mile decreased 1.8% in the quarter compared to previous year. For the full year, capacity increased by 0.8%. Most factor reached 87% in the quarter and 84.6% for the full fiscal year, both metrics relatively stable compared to the same period in 2024. Finally, yield improved 2.6% and 2.3%, respectively, in the quarter and fiscal 2025. We are pleased with this performance, which maintained momentum throughout the year, driven by strong demand for Transat offerings and enhanced revenue management. Turning to our operations. We have a fleet of 43 aircraft heading into fiscal 2026. Throughout 2025, the number of grounded aircraft due to the Pratt & Whitney engine issue fluctuated between 6 and 8. Conditions began improving towards year-end, and we post the fourth quarter with 5 grounded aircraft. The situation is expected to keep improving with the number of grounded aircraft projected to range between 3 and 5 during 2026 and full resolution anticipated by the end of 2027 or early 2028. Despite the damaging impact of this persisting issue, we have been able to improve our overall performance in 2025. Moving on to network expansion and diversification. To optimize aircraft utilization, our strategy is to pursue high potential routes with low seasonality and strong demand for visiting friends and relatives. Targeted network expansion across destinations in Africa, Europe and South America combined with a growing network of partners, allows Transat to offer new international destinations in 2026 and to annualize our increased frequency on successful routes. We're really proud to announce today a new nonstop flight between Toronto and Tirana, Albania. This route will be operated once a week starting June 18, 2026, making us the first North American carrier to offer direct service to Tirana. We have announced several new destinations in recent months, including in West Africa. These routes mainly target untapped market with strong year-round demand such as Agra in India, Agadir in Morocco and Dakar in Senegal. Additionally, our interline agreement with Turkish Airlines also came into effect last month. This partnership enables travelers to book itineraries combining flights from both airlines, enhancing connectivity between Canada and Turkey and linking with other routes in Asia and the Middle East. We also recently announced an interline partnership with GOL Airlines, one of Brazil's largest carriers. As we prepare to launch service to Rio de Janeiro in February, this agreement will allow passengers to connect to other major destinations in Brazil and South America. Turning to Europe. New flights to Reykjavik from Montreal will be available from mid-June to late September, twice a week. We have also annualized service to certain successful routes to the Caribbean as well as to Central and South America. We increased the frequency of flights from Montreal to Valencia, Spain due to the popularity of the destination and increased frequencies from Toronto to several destinations. Finally, on the regional front, we expanded our offering from other metropolitan areas in Eastern Canada with exclusive transatlantic routes between Quebec City and Marseille as well as between Ottawa and London, Gatwick. In summary, our network development remains central to our long-term strategy for profitable growth. Looking ahead to fiscal 2026, we remain on our growth trajectory as achieved in 2025. Demand for leisure travel remains solid, particularly for south destinations, driven by the continued shift away from U.S. leisure markets towards the Caribbean and Mexico. Our expansion into new high-potential markets, combined with fewer grounded aircraft and further network optimization should deliver a capacity increase of approximately 5% to 7% for the winter season and 6% to 8% for all of 2026. Our Elevation program, which has become entrenched in day-to-day operation, is expected to reach full potential with permanent cost reduction and further refinement of our revenue management practices. We will also benefit from a substantially lower interest charge in 2026 as our debt level was significantly reduced following the restructuring of our government debt. Looking ahead to the winter season, performance indicators are encouraging. During our Black Friday and Cyber Monday campaign, we successfully addressed strong consumer demand with targeted offers and optimized booking channels. This approach drove an 11% increase in bookings compared to last year setting a new record high for this key period. While the strike threat in early December created some uncertainty, its impact on first quarter result is expected to be limited. We reached an agreement within a few days and have already seen a solid pickup in bookings following the resolution. So far, our yields for winter 2026 are up 1.4% compared to last year, while load factor are 0.8 percentage points lower at this time mainly influenced by second quarter dynamics with potential for improvement as the season progresses. To wrap up, we improved our financial results in fiscal 2025 and made substantial progress in advancing our turnaround plan. Execution will be supported going forward by an improved balance sheet. We can now focus on what we do best, providing customers with a quality travel experience that combines comfort, hospitality and attention to detail at every step of the journey. We will remain prudent in carrying out our capacity expansion strategy, weighing growth opportunities against economic uncertainty as well as a competitive environment. Finally, I want to sincerely thank again our employees for their hard work and commitment during this period mark for certain challenges, but also by promising opportunities. This concludes my remarks for today. Jean-Francois will now review our financial results.
Jean-Francois Pruneau: Thank you, Annick. Good morning, everyone. In fiscal 2025, the successful implementation of the Elevation optimization program and the refinancing of government debt have strengthened Transat's long-term financial profile and reinforce confidence in our ability to create sustainable value for shareholders. Our team managed the grounded aircraft situation with discipline and precision, working to reduce its impact on operations and profitability. Despite this continued challenge, which has affected the company since 2023 and will only gradually improve in fiscal 2026, Transat delivered record-high adjusted operating income in fiscal 2025. Now let's take a closer look at our fourth quarter results. Revenues reached $772 million, down 2.2% from last year, reflecting $28 million less in compensation revenue from Pratt & Whitney compared to last year's fourth quarter. Recall that the Q4 2024 amounts represented total compensation attributable to fiscal year 2023 and 2024, whereas the Q4 2025 amount was strictly related to aircraft grounded during the quarter. However, for the year as a whole, compensation remained relatively stable, totaling $32.4 million in 2025. Excluding financial compensation, revenue rose 1.5% in the fourth quarter. And this improvement reflects a 2.6% increase in yield for the quarter, partially offset by a 1.8% reduction in capacity. Adjusted EBITDA amounted to $71 million in the fourth quarter of 2025 compared to $128 million in the fourth quarter of 2024. In addition to the year-over-year difference in financial compensation from Pratt & Whitney, the reduction also reflects higher than expected operating expenses largely driven by unfavorable variations in accounting provisions. Year-over-year for the fourth quarter, results were impacted by the unfavorable provisions totaling approximately more than including $10 million related to compliance costs for carbon credit scheduled for payment in 2028, which contributed to higher fuel expenses. As a result, net loss was $12 million or $0.31 per share in the fourth quarter of 2025 compared to net income of $41 million or $1.05 per share in the same period of 2024. Meanwhile, adjusted net loss was $19 million or $0.42 per share in Q4 2025 versus adjusted net income of $32 million or $0.81 per share last year. Moving to cash flow and financial position. Cash flow used by operating activities amounted to $150 million in Q4 2025 compared to $108 million used in the fourth quarter last year. As for investing activities, fourth quarter CapEx was $30 million, stable from a year ago. Last year, we generated $87.5 million in proceeds during the quarter from the sale and leaseback transactions involving 3 Pratt & Whitney GTF engines. Looking at the full year. Cash flows generated by operating activities totaled $157 million, up 65% from $95 million in fiscal 2024, driven by higher profitability. After accounting for investing activities and repayment of lease liabilities, free cash flow was negative $45 million in fiscal 2025, representing a significant improvement over negative $122 million in fiscal 2024. We anticipate that free cash flow will turn positive in 2026. Turning to our balance sheet. Cash and cash equivalents totaled $165 million as at October 31, 2025, and compared with $260 million a year ago. Among other factors, our cash position was affected by the repayment of $41 million in debt under our refinancing agreement with the Government of Canada. Cash and cash equivalents and trust or otherwise reserved mainly resulting from travel package bookings amounted to $466 million at the end of fiscal 2025, relatively stable from previous year. Sequentially, it was up from $306 million at the end of Q3, reflecting solid travel package bookings during the fourth quarter. Long-term debt and deferred government grant stood at $400 million as of October 31, 2025, versus $803 million a year earlier, reflecting the refinancing of our government debt during the third quarter. Net of cash and cash equivalents, long-term debt and deferred government grant amounted to $235 million at the end of fiscal 2025 versus $543 million at the end of fiscal 2024. Looking ahead to fiscal 2026. Transat will benefit from reduced interest charges, while benefits from the elevation program are expected to further ramp up. In parallel, we will continue to efficiently manage the grounded aircraft situation, which is expected to gradually improve. More importantly, and to reinforce what I said before, we are entering the new year with a stronger foundation. We are exactly where we were, where we projected to be, and we are advancing confidently along our planned trajectory. We have all -- we have a well-defined strategy calling for methodical expansion into high potential markets. A less levered balance sheet will also provide us with more flexibility to carry out the plan. This concludes my prepared comments. We will now open the call for questions from analysts.
Operator: [Operator Instructions]. First, we will hear from Cameron Doerksen at National Bank.
Cameron Doerksen: I wanted to maybe ask a question about yields as you look into the winter. I mean it's trending positively so far. But as we get into the second fiscal quarter, you and I think the rest of the industry have got a bit of an acceleration of capacity growth. So I'm just wondering if you have any kind of early sense of how yields are faring so far as you look into Q2 and particularly the peak March period. Is it looking positive at this point? Or just any color there would be helpful.
Annick Guérard: Yes. So for the winter, we see a momentum being positive. Demand has remained strong enough to absorb additional industry capacity with yields tracking well versus last year, including for Q1 and Q2. So we do not see on balance at this point between supply and demand. We believe that we strongly benefit from the shift in demand from the U.S. market to the South. And the South, as you know, we have a strong presence. So overall, I would say that we have a healthy booking curve right now, which supports a positive outlook for Q1 and Q2.
Cameron Doerksen: Okay. Okay. That's helpful. And maybe just a second question, I guess, just on the free cash flow. You mentioned that your expectation was for fiscal 2026 that free cash flow would be positive. Obviously, you do have some tailwinds here, which you highlighted. Just wondering, I guess, what you're, I guess, assuming as far as CapEx for 2026 and maybe expectations for generating cash from working capital in 2026 that gets you to that free cash flow number?
Jean-Francois Pruneau: Yes. Well, in terms of CapEx, I think it's going to be relatively stable from the this year from 2025, maybe a bit of upside, but it's not going to be that material. In terms of working capital movements, we have to live with the seasonality that our business our business is. So obviously, that impacts from -- on a quarterly basis, that impacts our working capital movements. On an overall year-over-year basis, I don't see any dramatic change in the working capital.
Cameron Doerksen: Okay. So the -- I guess, the bottom line is that the improvement in free cash flow is basically all going to be generated from improving EBITDA. Is that fair to say?
Jean-Francois Pruneau: Your math.
Operator: Next question will be from Tim James at TD Cowen.
Tim James: I'm just wondering you commented or indicated there was -- you don't expect any real impact or a limited impact, I think, was what you indicated from the overhang of the strike risk on bookings as you look at the first quarter. Was there any -- I realize it sort of occurred post quarter end, but was there any sort of anticipation? Or do you think there was any hesitancy or booking a way that maybe impacted your bookings in the fourth quarter from the strike or potential strike?
Annick Guérard: Yes, it was a potential strike, not a strike. First, I think we were lucky enough that the strike threat came after our promotions of Black Friday and Cyber Monday sales, which is a key sale moment for us. Then our sales were indeed impacted slightly for a few days, starting December 7. But as you know, we reached an agreement by December 10. So there was a pretty short period, and we were able to get back on our booking curve very quickly. So we decided even that to brought forward a promotional campaign that was due 2 weeks later to recuperate lost sales during these 2, 3 days. But overall, when we look at the situation and take a step back, the impact overall will have remained minimal, and we are very satisfied with the overall results.
Tim James: Okay. My second question, just turning to the Elevation program. It looks like other costs were up in the -- well, excited is for the full year, there were some impacts on other costs related to elevation optimization. I think those costs were actually up $12 million, $13 million sequentially from Q3 to Q4. Could you just kind of walk us through what types of expenses the company is incurring that caused that seasonal uptick or sequential uptick from the third quarter into the fourth quarter?
Jean-Francois Pruneau: Yes. Unfortunately, I don't see where you're from. How are you making reference to additional costs related to the Elevation program? Overall costs, like I said, has been impacted by some unfavorable variances or variations an unusual, call it, unusual onetime provisions. And obviously, there's also the increase in payroll related to the negotiation with our pilots. But I don't see where you're making reference or why you're making reference to the Elevation program and additional costs related to that, unfortunately.
Tim James: Okay. Maybe it's something we can take offline. There's a reference in the discussion under that says this increase resulted mainly from costs secured related to our Elevation optimization program.
Jean-Francois Pruneau: From -- okay, I understand what you mean. Yes. No, absolutely. Now I understand what you mean. So essentially, with the implementation of the Elevation program, we have onetime costs that are related to initiatives that we are implementing over time. And that would include various items that would include the consultants that we are working with as an example. So that's essentially onetime costs related to the implementation of the initiatives.
Tim James: Okay. Okay. That helps. And I'm trying to -- so there is some nonrecurring costs in there that will decline, I assume going forward. Okay. That's absolutely.
Jean-Francois Pruneau: Absolutely. That's the way to look at it, yes.
Annick Guérard: I would add on that, from a system implementation, AI tools that we are implementing across the business that are onetime costs as well.
Operator: Next question will be from Konark Gupta at Scotiabank.
Konark Gupta: Just maybe to ask on the provisions first, Jean-Francois. Can you describe the nature of the 2 parts, the total $15 million, and I think the $5 million is from one thing and a few things maybe and the $10 million is for the carbon offsets. So can you describe the nature of these provisions? And how likely are they to recur in the next few quarters?
Jean-Francois Pruneau: Yes. So the CORSIA provision is quite obvious. It's relating to -- it's related to the offset our carbon emissions, and it's a calculation that is quite complicated, but that would imply estimating essentially our growth in carbon emissions relative to the industry overall. So that could obviously make that provisions quite volatile. And it's also, as you can imagine, because it's related to carbon credits and offset the fair market value of the carbon credits also impacts our provision. So it could be quite volatile on an annual basis. And just to give you a bit of perspective on that, our obligation relating to the offset of carbon emissions in 2024, amounted to approximately $1.5 million, which was minimal, obviously. But in 2025, we had to increase the provision by like more than $10 million. So it's quite volatile. Related to the other type provisions, they are more onetime in nature or nonrecurring in nature, I should say. There's a few elements. The biggest 2, I would say, are related to one of our vendor that defaulted on its obligations. And the consequence was unfortunately, a $2 million onetime nonrecurring provision associated with that default. And obviously, we will be looking to get compensation for that default and the impact on us. And there's also a sales tax litigation in Italy for that came from 2006 or 2007. It's a very data litigation, and we had all the information this year that essentially demonstrated that we should book that provision because we don't think that we're in a good -- a favorable position with respect to the selling.
Konark Gupta: Okay. That's very helpful. And with reference to the winter load factors being softer and pertaining to the second quarter dynamics, I just want to make sure the second quarter dynamics you're referencing there is the capacity growth in the industry. It's nothing beyond that. There's no like labor or there's one sort of onetime event?
Annick Guérard: No, no, no. It's exactly that.
Konark Gupta: Okay. And just to wrap things up for me. On the margin side, I guess, you guys are expecting some margin expansion next year as well. Can you like broadly help us understand how that margin is being driven next year? And I mean, what are some of the underlying assumptions you have? Perhaps Canadian dollar could help to some degree, but anything else, be it the broad buckets like elevation program or the fuel price assumptions you're making or any of the fleet changes?
Jean-Francois Pruneau: Yes. Well, a few things here. First thing we are improving or we are increasing the capacity and we have a lot of the fixed cost in our structure. So obviously, as we increase the capacity in terms of CASM, it's going to have an impact and it's going to have an impact on margins. So that's just natural, I would say, when you increase capacity. So that's one thing. The elevation program, you're right. The elevation program is driving more productivity in our structure, in our business. So that will also benefit to our margins. And with respect to fuel and to FX, we don't expect material improvement year-over-year, maybe a slight improvement, but not material improvement in terms of fuel cost or fuel prices and FX.
Annick Guérard: I would add that as I explained, we are reducing significantly the number of AOG of our A321LR. The A321LR is our most efficient aircraft, which drives margins up. It's -- so that's helping us as well in terms of optimizing our network, increasing state utilization and, therefore, driving margin up.
Operator: [Operator Instructions]. Next, we will be from Alexander Augimeri at CIBC.
Alexander Augimeri: I was just hoping for some additional color on your elevation program. I was wondering if you could break down how much of that $100 million is now run rate realized exiting fiscal 2025 versus it being back end point?
Jean-Francois Pruneau: Like you know, the objective is to generate $100 million of additional EBITDA by mid-2026. We're on track. We're probably, I would say, half of the objective being met, close to that.
Alexander Augimeri: Okay. Perfect. And can you share any details on the skew of maybe the cost or productivity gains versus some of the revenue gains associated with that?
Jean-Francois Pruneau: I'm sorry, I missed the question.
Alexander Augimeri: I was hoping if you could share some details on the SKU, if it's more on the cost and productivity side or if there's a revenue in there as well?
Jean-Francois Pruneau: For the elevation program specifically?
Alexander Augimeri: Yes, yes.
Jean-Francois Pruneau: Yes, it's approximately 60-40.
Annick Guérard: 60% costs, 40% revenue management.
Operator: At this time, we have no other questions. Please proceed.
Annick Guérard: Thank you, everyone. As a reminder, our first quarter results for 2026 will be released on March 10. Thank you, and happy holidays.
Operator: Thank you. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we do ask that you please disconnect your lines.